Operator: Good day, and welcome to Tata Motors Q2 FY 2024 Results Call. With me today are P.B. Balaji, Group CFO, Tata Motors; Mr. Girish Wagh, Executive Director Tata Motors; Mr. Shailesh Chandra, MD Tata Mota Passenger Vehicles Limited and Tata Passenger Electric Mobility Limited; Mr. Adrian Mardell, CEO of Jaguar Land Rover; Mr. Richard Molyneux, CFO Jaguar Land Rover; and my colleagues from the Investor Relations team. Today, we plan to walk you through the results presentation followed by Q&A. As a reminder, all participant lines will be in listen-only mode and we will be taking questions via the Team's platform, which is already open to you submit your questions. You are requested to mention your name and the name of your organization while submitting the question. I now hand over to Balaji to take this forward.
P.B. Balaji: Thank you. Can you go next slide please the standard safe harbor statement? Yes, nothing additional criteria, no further changes to any accounting statements or anything. From a quarter perspective, a series of actions underway this quarter. I think let me try and these are the ones that are really big here. The portfolio of CNG, which Shailesh is going to talk about later doing well for us. And 1,000-odd E-Buses, the latest being Srinagar that was launched yesterday. And, of course, from getting ready for the future perspective, I think both in Tata Motors and in JLR, in JLR the whole energy testing site for EVs as well as here the H2 testing facility in India both big ones coming through. And in JLR, the confidence of the future of cash flows being manifested in the bonds that we have bought back as well to China holder was repaid, which I'm sure will get covered later in the discussion. Next slide please. Overall revenues, we came in at INR1.5 lakh crores for the quarter with an EBITDA of 13.7%. And on a -- this EBIT growth, EBIT number of 7.5% you could recollect, we did signal that we're going to have a temporary blip between Q1 and Q2, because of the summer shutdown that we had in JLR that's exactly how it has played out. And PBT (bei) came in at INR6,100 crores. I'm sure there's going to be a question later today in terms of why is it that between PBT and PAT the tax rates or tax costs have gone up significantly. So let me just cover that right away. Given JLR's earlier performance, we are not in a position to recognize the deferred tax asset in excess of our deferred tax liabilities. And, therefore, because it's an asset recognition accounting it forces you to show a consistent track record for that. And that is what is causing a bit of noise on that. Happy to dwell in further detail in case you want further details. But on an overall basis the tax rate remains the same 20% to 25%, 25% that we had already signal, no change to that. Free cash flows came in strong again this quarter at INR3,900 crores. I also want to quickly cover the H1 numbers that you see. PBT (bei) stepping up by almost INR18,000 crores, and on a year-on-year basis the cash flows have also stepped up by INR15,000 crores taking the net debt down to INR38,700 crores. So well on track to whatever commitments we had on the deleverage plan. Next slide please. Split of growth between volume and mostly led by volume mix and price and translation of course yielded a little bit. Profitability particularly pleasing, because every vertical was firing on the profitability side and hence contributing to the overall increase that you see. And the net automotive debt at INR38,700 crores. Split it up by Tata Motors India, I think we are very confident that this business will go net cash by end of this year and the JLR by the next year. And, therefore, we believe we are well on track for the deleveraging targets. Next slide. On our corporate action side, a lot of actions. Some of this you've already seen the news. First was Tata Technologies where we had a pre-IPO deal, which is signed with TPG Climate Royce, which is -- and Ranta Tata Endowment firm. And this is actually going -- it's a strategic sale and to that extent this business is going to benefit from someone like TPG is coming in. And it's climate dedicated fund and their experience in investing in green technologies will be of benefit to us. This transaction has been closed and cash has been received by -- in the last few days. And, of course, from an IPO perspective their actions are underway and the timing of course will be decided to the TTL Board post final approvals. Next slide. The second transaction that we did was acquisition of a 27% stake in Freight Tiger. This is a significant and I have talked about it, maybe I'll take a minute to spend on it. Indian freight market is massive and fragmented. And here while the investments have gone on trucking -- in trucks a lot of investments have gone, not to be said the same about freight ordering or management of the whole freight process. And therefore, this is an area where Freight Tiger tries to solve the problem by providing the end-to-end digital software-as-a-service solution. FleetEdge is trucking product that we have which is a connected on -- which sits on our connected vehicle platform and helps both fleet operators and drivers. By integrating these two, we can now give a comprehensive management solution. And therefore, from the stakeholders, and I'm very careful to use the word stakeholder, there are so many stakeholders in this. For the shipper, it's going to result in lower freight cost because of matching. There is for the transporter, better transparency on freight availability. Faster payments for the entire truck operator there. For everybody enhanced visibility and reliability. And therefore, this is quite an interesting transaction coming through and fits in very well with gracious digital plan that we have for the CV business. The transaction we will invest INR 150 crores, which we already done. The money has already gone out of our bank this one and we are now at 26.79% owner where CPs have been completed. And in the next two, three years we'll invest an additional INR 100 crores as required. And thereafter, we'll have the right to buy the other investors at the fair market value. A very interesting transaction and something we are very excited about. Next slide. This is the latest one has just been announced where Avinya will be underpinned by JLR's EMA platform. I'm sure Shailesh and Adrian both can talk about it later in the presentation. But it's a very important transaction for us because -- this is TPM's premium pure electric vehicle series Avinya, which we revealed last year. And this will be developed on EMA with JLR is well underway and on time lines to launch the first car. And this will be an MOU for access to the EMA platform, including the electrical electronic architectures, the EDUs the drive unit that is battery assembly and the manual for a royalty fee. For us, it accelerates our entry into the high-end segment. It delivers a global product upfront, reduces development costs and cycle time that's already -- it would have been already validated by JLR and accelerates our adoption of advanced ASIS technology. So this helps Tata Motors leapfrog the market as far as the Indian market is concerned. But this is not being conceived only for India. It's actually being conceived as a global product which makes it a very interesting proposition for us. So, these are the three actions that we have from a corporate side. Let me now hand it over to Richard to take you through the JLR story. Richard, over to you.
Richard Molyneux: Thank you very much, Balaji. Let's go to the next chart, because it's important to show JLR is really delivering strongly both financially and operationally. We're setting records. So if you look at the top line our Q2 performance, revenue up 30% year-on-year to £6.9 billion. That is a record we have never achieved that level before in Q2. Our EBIT is down a little bit at 7.3% for the quarter. We always mentioned when we showed the Q1 numbers that there was a small one-off favorable in there that would feed back out. So it's actually probably more relevant to look at the H1 EBIT percent of 8%. PBT in the quarter £442 million and £300 million of operating cash flow. What that means for the first half of the year? £13.8 billion worth of revenue, which is a record. It's also a record in terms of per unit. In terms of per unit we're now up at £72,000 per car, levering 8% EBIT, £877 million worth of PBT, which is up £1.6 billion year-over-year. And an H1 cash flow of £751 million. That's not only an H1 record cash flow for us. It is a record cash flow by £250 billion. So we're setting records. We're delivering well. So if we move on to the next slide. I won't go through this in detail. This will cover the comments that I have made and will make as we go through this presentation. It's therefore you record so you can go back to it afterwards. So we move on to the next shot, which shows our wholesale performance, which was up 29% in the quarter from -- sorry, up 4% in the quarter from 93,000 to 97,000 units, up 29% for the half. In terms of the brands, Range Rover fairly flat. Look this is something that's expected for us. We are still production constrained on Range Rover. And as Balaji mentioned, we have a 2-week plant shutdown in the quarter. So it's no surprise that that's flat. Defender continues to do extremely well for us 30,000 units in the quarter. And Jaguar was also up in the quarter. Well, if you look at the table of the first half of the year below, you can see Jaguar is pretty flat and the volume increase is coming primarily from Range Rover and Defender, which is up considerably on a year-by-year basis. So, on a H1 basis we're up 29%. Next chart. So if we look at this on a regional basis, I think, the only thing I'll point out in terms of both the quarter is look China. China, we know is a very, very tough market at the moment but we are showing strong resilience in that market. Actually quarter-on-quarter we were up only fairly flat year-on-year. And that does show the power of the modern luxury brands that we have, and how they can cut through at the top end some of the noise and the pressures of the market. Most of the other regions performed really well. If you look at the second bar chart down there the first half of the year every single region is doing better than it was in the previous year. In terms of the bars on the right, percentage of electrified vehicles that's both PHEV and BEV was relatively flat in the quarter. Actually it went up from 12.7% to 13% but that's the number that we expect to stay fairly static until we launch our new BEVs starting with the Range Rover BEV at the end of next year. Next chart. So the next chart shows the development of our profit before tax from last year this year. And shows an increase of £615 million year-over-year in our PBT delivery. So just explaining that the largest chunk quite, obviously is volume and mix. Volume was 21,500 units higher than the previous year. And mix is also stronger. That is Defender up from 23% to 31% and Range Rover Sports up from 6% to 17%. So, both positive in terms of volume and in terms of mix. Pricing for us is also something which has been positive over the last year. We are showing a very small increase in our variable marketing expense, but do note that's going from 1.1% to 1.5%. Those are levels which are still extremely strong, and represents the sort of the need to not discount greatly in the modern luxury space of the market. So we've done very well to keep VME at those types of levels, whilst keeping order bank of 168,000 units. Material cost is actually favorable for us in this quarter, but that is largely because at this time last year was when we were really suffering in terms of material costs particularly in terms of the amounts that we were having to spend to brokers to source semiconductor chips. As that industry has stabilized there, we don't need to spend those money. So on a year-to-year basis material cost is actually showing some improvements for us. We do know that we're going to have to continue to spend some money on demand generation. So you can see there £96 million adverse year-over-year in FME and selling. Of that £62 million was in marketing expense. Some of you that have been following the Rugby World Cup that's been going on. We'll have spotted very chunk of that went in terms of our sponsorship through Defender at the Rugby World Cup. Foreign exchange actually net favorable for us year-over-year, one year ago this quarter was the quarter when we had the premiership of Liz Truss and Sterling did take a step down to $1.10. It's come back up this quarter to circa $1.22. That's given us an operational FX adverse, but quite a strong hedge position and the revaluation of our balance sheet and debt meant that the net foreign exchange impact for us is favorable. So that's the explanation, so don't lose sight of the bottom line. We have improved our PBT by £615 million versus the same quarter last year. And that PBT is the best that we've had for years. Next chart please. Here we go. This then takes PBT through to cash flow. The number I'd like to focus there is the cash profit after tax but before investments at £1.151 million. That is also a record for us by the way. But as much as being a record I'd like to focus on the consistency of that number. In the last three quarters, that number has been £1.116 billion then £1.135 billion now £1.151 billion. So we are very consistently delivering £1.1 billion of cash profit after tax deploying That's a really strong message. We did spend a little more investment. I'll come and talk about that in a minute. That's a natural part of our cycle plan. And working capital was a little bit adverse for us in the quarter. That is largely the effect that the two-week summer shutdown has in terms of our payables. However, we delivered £300 million worth of operating cash flow. Next chart. In terms of our investment, we've said £775 million. Of that £577 million was engineering and 64% of that or £368 million was capitalized. I think it is important to understand that for us that capitalization ratio is something that does wax and wane according to where we are in the product life cycle. So, if I look at it for the same quarter last year, it was 40%, same quarter the year before, it was 37%. Same quarter the year before that, it was 68%. So this is something that will evolve for us. It always gets higher, as we approach major launches because then the engineers are working on programs that have passed their capitalization hurdles. And it always goes down when we are working on programs which are further into the future. So we would expect that level to probably increase a little bit over the next couple of quarters and then as we move through next year to start coming down. Next chart. Great. Business update. So if we move forward, you can see here this is our wholesale history. You can see the trend from the low point of just sub 65,000 units in Q2 FY 2022. We are continuing to improve in the next couple of quarters. We will improve those deliveries more. That's partly as a result of something I'll come and talk to you about an MLA in a second and partly the result of there are greater working days in the next two quarters than there were in the last two. We're not completely out of the woods on supply constraints yet. They still do appear, but they're caring in slightly different It's not really major semiconductor constraints that we're seeing. We're seeing the type of events and the challenges that are slightly more normal unfortunately in an industry where you get floods at suppliers or fires and suppliers. But we're getting very good at responding to those very fast. So we do expect Q3 and Q4 both wholesale volumes and production volumes to improve even over the last that you can see there on that page. Next chart. Now you all know how important Range Rover and Range Rover Sport are for us. And that Range Rover and Range Rover Sport and Defender makes 77% of our current order bank. So production of those vehicles is extremely important. We did manage to keep it constant quarter-over-quarter in terms of average number of vehicles produced per week. But we did manage to trial through one week of 32000 -- 3,200 cars in fact to be precise 3,263 was our peak volume. We expect that to continue to improve through the back end of the year. We do have an additional body shop for MLA coming on stream towards the end of this month. That will start a ramp-up process, but it will allow us to increase those numbers, as we go into the end of this quarter and through into next year. Next chart. So where do we stand? We are performing well operationally, financially and we're setting records. And we expect to be able to set more records in the quarters ahead. So we expect our volumes to recover. We expect inflation to moderate and we're changing our guidance in terms of EBIT from prior guidance of 6% plus to around 8%. That shows the confidence and the delivery that we're currently producing and that we can maintain those levels. Net debt. We ended the quarter at £2.249 billion so £2.25 billion. That is exactly half of it was a year ago. So we have halved our net debt in 12 months and we commit to get that net debt down from £2.249 billion to lower than £1 billion by the end of this financial year. We will focus on execution, executing our plans flawlessly and continuing to deliver both financially and operationally. Thank you. I'll hand back to Balaji.
P.B. Balaji: Thanks, Richard. Quickly moving on to commercial vehicles. Girish and I will take this section. Next slide please. On the market share front, we had an improvement between -- from the -- sequentially from 39.1% to 39.7%, particularly heartening the heavies are starting to do well. And as the supply chain issues the portfolio gaps that we had than even the LMC sections are doing well. But we do have a challenge on the small commercial vehicles and that's an area which we are well focused on to ensure that comes back again. It will take a little bit of time as we give this business to see kind of a thinking. So that is something which we are working on. Next slide please. But the work on pivot to quality is yielding as handsome returns. Revenue is up by 22% at INR 20,000 crores and EBITDA up by 540 bps. And now 10.4% we committed to deliver double-digit EBITDA were delivered this quarter as well as on a half year basis. And of course, from a profit perspective, this business has generated about INR 1,500 crores this quarter and overall INR 2,500 crores for the year so far. So on a very good track as far as profitability is concerned. Next slide. Where did the money come from? A combination of volume mix as well as realized in drawn attention to your realization increase, so substantial improvement coming to there. That was a strategy that is what is yielding us the benefit. And as you saw in the previous slide is also yielding market shares in the key heavies and the intermediate sections, but of course work to be on the smalls. Next slide please. Let me hand it over to Girish to give you a sense from a business flavor perspective. Girish, over to you.
Girish Wagh: So thanks, Balaji. So we had a good growth in volumes, almost 21% quarter-on-quarter and 6% year-on-year with all the availability issues that we had in Q1 being addressed. Balaji has already spoken about the market share. And I think if I may say, in M&HCV, our Q2 market share is now already ahead of the FY '23 market share. In ILMCV and passenger, we are growing market share month-over-month as the issues have been addressed. And in small commercial vehicle and pickups, I think as Balaji mentioned, we are pivoting towards one -- on one hand improving the unit economics and on the other hand, improving the business model from B2B2C. And we will claw back the market share as we go ahead. The non-vehicle business revenue also grew by 20% over Q2 of last year. So this is one business that has been growing handsomely. Very good improvement in penetration in the spare parts, as well as service. We had around 17% of our volumes being generated through digital channels, leads from digital channels. So I think we are consistently maintaining it at this level. If you look at the bright spots, first is, for us, the truck that is MNSCs grew by 24% over the same quarter last year. Passenger carriers grew that is buses and vans grew by almost 32%. I think the customer sentiment index, it remained firm or improved across segments. So generally, second quarter, monsoon quarter does see a dip in medium and heavy commercial vehicles which is what we saw. But otherwise other segments did well. On the commodities, we had tailwind due to softening of commodities, especially steel and precious metal. So we had good tailwind on the margins. And of course, I think we have been pushing our cost reduction efforts, has also improving realizations month over month, which is all what has helped in margin improvement. I must also say, I think post the introduction of BS6 Phase 2, we have been getting good traction on all products and there has been a lot of focus on influencer advocacy as well as a lot of in-market back-to-back trials to prove the improvement in total cost of ownership. In addition to that -- this we have also introduced more than 200 variants within quarter two to expand the portfolio. So going ahead, I think we are quite clear we will continue to drive the improvement. We have already taken a price increase on 1st of October because we see some commodity headwinds especially from steel coming in Q3 -- likely to come in Q3. So that's the price increase that we've taken. And while we continue to drive realization improvement we will keep upping the Mahan share, which is what we are focusing on with the help of our BS6 Phase 2 product range. We of course have a very differentiated focus on SUV portfolio. I already spoke about that. We are driving our profitable growth and building a very sustainable model. So pull-based model rather than having a push BME base push, we have been scaling up our EV supplies both the AS EV as well as the electric buses, and I'll speak about this in detail on the next slide. We'll obviously continue the growth in our spares and service penetration, and therefore the revenue from the downstream business. In international markets, we have been maintaining our market shares in all the key markets, have improved our margins and we are also maintaining channel health as the total industry volumes in most of these markets are below even the last year. Next slide. If I speak about the electric mobility in detail now we have almost -- let me first speak about ACE. So we have more than 1600 ACE EVs flying on the roads. And together they have come to more than 4 million kilometers. So, good experience under the belt now. I'm also pleased to inform you that, just two days back we have received the PLI certificate. So ACE EV becomes the first 4-wheel commercial electric vehicle to receive the PLI certificate. So with this we will now further strengthen our efforts in increasing the volumes. The retail numbers of ACE EV are going month-over-month and we continue a strong engagement with the ecosystem stakeholders to ensure finance availability, charging infrastructure availability, as also enhancing our reach to keep on scaling up the volumes. Coming to the Smart City mobility solutions. So we have now almost 500 electric buses deployed between Delhi Transport Corporation. And just yesterday, we had inauguration of our buses supplied to Jammu and Kashmir also. Cumulatively, we have now crossed more than 97 million kilometers. And I think in all the contracts we are delivering more than 95% of time and almost close to 100% of time towards the end of quarter two. I think the buses have been delivering pretty well. I already spoke about Jammu and Kashmir. And I think, the focus that we have in this business right now is laying a foundation for a very strong business. A lot of focus on putting in place processes, IT and digital enablement. We also received ISO certificates for some of our depots which have been started a year back and we'll continue to do the same for other depots also. On the -- I'm also very happy to let you know that we had taken a specific position on the new tenders in absence of the payment security mechanism. And I think the government -- we have been having a lot of engagement with the government, a lot of response from the government. And as we understand in the new tender which is, likely to come up from the Ministry of Housing and Urban Affairs, the payment security mechanism may find a place in that which we'll see us coming back aggressively in this space. On the digital side, I think Balaji has already spoken about the Freight Tiger piece. So The Freight Tiger operates in The Logistics Ecosystem that has is a very strong platform in The Truck Ecosystem. We now have almost 0.5 million vehicles on the platform. And we continue to grow this. The engagement times are also improving month-over-month. We introduced the subscription models from second quarter. And we're seeing good traction from the customers for the same. As I said, the engagement time is being improved with enhanced -- informating and contextual insights on operations that is operations of the trucks, the vehicle health and the driving behaviour which is actually helping the customers to improve their real-time total cost of ownership. I don't speak further on the Freight Tiger as Balaji has spoken about it, but actually provides a very comprehensive end-to-end solution for us, connecting both The Truck Ecosystem and The Trip Ecosystem. And will actually be a win-win proposition for all the stakeholders whether it is the shippers, the logistics service providers and fleet owners which are going to be our customers. e-Dukaan which is our online marketplace for the spear parts, I think we have grown very handsomely four times over Q2 FY 2023. And I must say actually this is helping us to improve the penetration, to the customers who otherwise would have not bought from us or gone for second-hand I think are coming to us through this. Last point I would say, the retail as I said the retail service digital leads also continue to be healthy, almost 17% of our volumes are coming from that. So that's the summary of CV Business, Balaji, back to you.
P.B. Balaji: Thanks Girish. Going on to the PV side next slide please. Domestic market share is at 13.4% for the quarter. If you recollect this is -- we said the first half of the year is going to be challenging for us because -- we have -- our products are all coming rear-ended while most of competition has launched their products in the first half. So pretty happy to see the way it ended at 13.4%. At the same time if you look at the October month we did come back into the 14% plus zone. So it is exactly in line with what we had planned. The other reassuring piece is the EV as a portion of the total profit sitting at 13%. I've seen a lot of questions coming on EV growth, which I'm sure Girish or Shailesh will cover quite extensively in his Q&A. Next slide please. Overall EV volumes, you remember that the transition quarter for us because in the entire PV business we had our three big products Nexon undergoing a change both the ICE version as well as the EV version. Safari Harrier launching in October, so to that extent it has been a quarter where we had to manage the ins and outs. And that explains the EV volume sequential decline that you see. But year-on-year continues to do and the way the Nexon orders are currently picking up which I again see a lot of questions on we are quite comfortable with the way it is currently positioned. Next slide please. Overall numbers, the revenues went down 3% for the reasons I just explained, but despite that EBITDA up 110bps or 6.5% EBIT at INR180 crores -- sorry, 1.8% plus 140bps and PBT (bei) of about INR300 crores for the quarter and INR500 crores for the year so far. So the business is starting to step up the profitability once again. Next slide please. This is probably the most eagerly awaited slide, how do we split the PBT numbers call that point for a minute. See where the monies have come from. The volume decline and the mix because don't forget that Nexon, Harrier and Safari are our most profitable products. Those are the ones where we did see a volume challenge. And that's the reason the volume and mix are taking the EBIT numbers down. At the same time variable cost significant savings starting to come through including in battery prices as we had indicated last time and hence the profitability coming up because of that. Fixed cost increase is fundamentally coming out a fair amount of amortization being pushed through as well as charge-off CapEx as is happening. And the step-up in SMEs is also cause for it cost numbers, which we are not unduly concerned about. On the EV line, the PV business right now from an EBITDA perspective is at 9.2% which is a very important number. Because this is a business earlier we wanted to be as close to double-digit EBITDA as possible. We are there. So, this business is now nearing the double-digit EBITDA that we once had an aspiration for. The aspiration has turned into reality. At the same time the EV business, the size is stepping up and EBITDA of minus 5% or INR100 crore loss that you see needs to be contrasted with some of the numbers that have come out from some of the global OEMs. We are well in control of our numbers and very much in the affordability zone. And this is particularly noteworthy because almost this entire INR100 crores is product development expenses that are being charged off. And this EBITDA will continue to increase further as the battery prices come off further. And as our new contracts are coming. Should see an improvement in Q3 and a significant improvement in Q4. Again, remember no PLI benefits have been considered on this so that comes and adds on profit. So, we have the business in the -- if I'm very well-positioned for both growth and profitability increase and market share in the second half of the year as the new products start coming through. Next slide. Shailesh?
Shailesh Chandra: Thank you, Balaji. So, let me start with the industry highlights first. In quarter two, the high base effect of last year quarter two taken and the wholesale was just a single-digit growth, which was 8%. It is important to note that 8% of the sales is now accounted by the new nameplate launches in the industry. The segment shift the structural shift that we have been seeing towards SUVs further pronounced in the quarter two. Now, it is at 50% plus share, which is at the cost of the decline of patches. As far as Tata Motors PV and EV business is concerned, as Balaji mentioned, that the focus was to manage the model transitions well, while keeping the wholesale volume maintained in line with the plan and we delivered that. There has been a sequential margin growth as Balaji already covered that point. Very important that we have been trending onward ad segment. We sold about 48,000 numbers in quarter two. And this is basically on the back of the multipart strategy that we have which is CNGs, electric, as well as petrol, which is really delivering higher volumes in a very challenged segment I would say. Talking about the bright spots in the industry. I believe that quarter three is going to see sustained momentum. We already saw this month was a very high wholesale month. There's a strong retail momentum that one is seeing in the festive period and festive periods and up to Diwali. So, we don't see a problem in terms of the demand as it was being anticipated. Supply concern clearly looks to be eased out, particularly when we talk about the semiconductor. As far as Tata Motors is concerned, we launched the iCNG version range. If you remember in May that is in quarter one, we had launched Altroz iCNG, which was the first product with twin-cylinder technology. Really was received well. And in quarter two, we launched three additional products with twin-cylinder technology that was franchise B&G, Tiago, and Tigor. I must say that all of them are rendering good. Balaji showed that in H1 we are at 13% per share in CNG, but this has grown to nearly 20% now. Launch of new Nexon EV is another point which Balaji had mentioned. But these two launches have really been good. While the waiting periods were very high in the first month. But in the last two months, we have nearly supplied 32,000 numbers and that has moderated the waiting period to three to four months period. Now, Harrier Safari was also the other facelift that we launched in the last month, which is October. This is the most safe car as per the GM cap, we were able to get 5-star rating, but with the highest-ever score that any car in India has got. Very strong bookings coming in. It's with all the segment-leading features and we strongly believe that this is also going to do well. So, we have all the launches that recently we have done which is CNG Nexon, Harrier, Safari really all is well were for us in quarter three and going forward. In terms of challenges, yes, high levels of channel inventory as you know in the industry in anticipation of a strong festive season. Hopefully, even Diwali -- will also a strong demand outlook. So therefore, we expect that inventory should come within the normal levels. Regulatory support reduced for EVs in some key markets, but particularly I'm talking about [indiscernible] where there is uncertainty around the road tax waiver. Hope that will get clarified and therefore the volumes are going to come back. As I said the SUVs have gained their salience but this has come at the cost of hedges of sedans. So therefore our plan would be to ramp up the supply of new launches to drive volume growth. We have done well for Nexon so far in two months. Harrier Safari went through a ramp-up phase last month. Hopefully, we should be able to deliver supplies strong supplies in this manner. We have taken some very targeted action to sustain our volumes in hatchs and sedans. As you know these two segments are degrowing. But with the advantage of the multipart strategy that we have. And certain micro markets and customer segments we are planning to see how we can sustain our volumes here. Back to you, Balaji.
P.B. Balaji: Thank you, Shailesh. Overall let me accelerate a bit here. I'll go to the next slide please. Cash flows only draw your attention. Cash profits significantly higher than the enhanced CapEx that we are running it. So business is living well within its means. Next slide please. Again investment spending. We are blocking well. We have guided to a INR 8,000 crores spend this year and we are on track to secure -- deliver on that number. And that just ensures that the overall product plans are all well funded. Next slide. On TMF a minute on this. This is a business that had its challenges earlier, but we are coming through on plan. The business is gradually getting its act together after the challenges that they faced last year around October and the concerted collection efforts are delivering results. And the efficiency is now 97% improving. GNPA thought contained at 8.1%. But on an absolute number basis what used to be almost INR 5,000 crores of GNPA overall is not down to about INR 3,300 crores which is a significant improvement on the on the book that we are seeing. ROA is also starting to step up at 4.7% and the business diversification is well on track with both on pre-owned vehicle financing, free topic financing all that is expanding well. Capital adequacy and DA ratios, liquidity all of them comfortable. Next slide please. Just finalizing on the outlook. We do expect the lot of questions I see on demand. We continue to remain optimistic on demand despite those external challenges. We acknowledge those challenges, but right now we are not seeing that impact in our demand for our products. And -- but we'd expect to see some moderate inflation seep through. Our H2 performance is likely to improve further on three reasons. One, seasonality will start working in our favor. Supplies are likely to improve particularly in JLR as well as in passenger vehicles. And in passenger vehicles a skew of new launches coming through and therefore quite confident on the deleveraging plans. I'll draw your attention to the improved indication on what we are likely to land the year at in JLR actually to be more around 8% for this year. And we do believe we can sustain it thereon. So overall that is a focus. And on the CV side the focus of particularly on CV market shares and continuing to sustain the improvements that we're seeing in M&HCV market shares is important. We will not change the pivot to growth -- pivot to quality strategy that we have put in place and double-digit EBITDA for the entire year securing that and improving it is important. And PV of course get back to market-leading growth. And on EV the focus will squarely be on expanding the market and driving up the EV penetration of our portfolio. So that's what we have to say and we will now move into questions of which there are already 17 lined up any questions coming through. So let me start from the question that came in first so I request if our teams to move to the most recent tab so we can go right all the way down on that particular tab.
Operator:
A - P.B. Balaji: First question from Jinesh, Motilal Oswal. Richard is coming your way. The guidance for EBIT margins increased to 8%. However, the free cash flow guidance has remained at $2 billion. Should we not expect a higher FCF given EBIT is going up?
Richard Molyneux: Okay. Thank you. So as we said we closed the quarter with £2.249 billion worth of debt. So we need to generate £1.25 billion or more to get down to our target of £7 billion. And it's £500 million more than we generated in the first half of the year. We're on track to do so. One of the things that does put a little bit of difference between EBIT and cash flow is investment. Our investment in the first half of the year was £775 million. We do expect that to go up in the second half of the year as we start paying for the preparation works in both our plants in Halewood and in Solihull in the UK to start producing the next generation of bed vehicles and also in the facilities to produce the EDUs and the batteries. So investment levels there's a bit of a disconnect between the change in EBIT guidance and the change in cash guidance but we still do have £1.25 billion of debt to take down in the next six months and we're on track to do so.
P.B. Balaji: Okay. Another question on this from Jinesh, as well. One is the increasing salience of Range Rover, Range Rover Sport and Defender in your order book but your ASPs have declined for third quarter in a row. Do you expect the ASPs to decline further as mix benefit start receding? And let's answer that question then we'll come to deferred tax the series of questions.
Richard Molyneux: Okay. So in terms of average selling pricing in Q1 it was £74,000; in Q2 it was £71,000. Within that we're setting in Q2, we were a little bit constrained in terms of our Range Rover, Range Rover Sport production. Range Rover in particular, which is our highest transaction price vehicle went from 18% to 15% over our sales mix. We do not expect that to be permanent. And as we bring the second body shop online for our MLA products in Solihull, and as we reduced the specific constraints that we've got in terms of Range Rover, we would expect that trend to go – not to continue.
P.B. Balaji: Yes. A question on tax rates Richard. I'm happy to step in a theater but let me pass it on to you. Is there a further deferred tax asset pending to be recognized? And how should we look at the whole tax rate for second half and beyond?
Richard Molyneux: Yes. So we – as Balaji I think mentioned, due to our historic position around losses. We do have an unrecognized deferred tax asset of about £1 billion. We have gone through four quarters of profitability. So we are looking at that. We have no conclusion as to when that could be brought back onto the balance sheet. The fact that we got such a high unrecognized ETA does add both level and volatility to our effective tax rate. So we would like to get that resolved at some stage.
P.B. Balaji: And therefore on a long-term basis Richard, how should we plan the tax rate when we model the value of the company?
Richard Molyneux: Typically I think it would be reasonable to expect somewhere between 25% and 29%.
P.B. Balaji: Thank you. Coming to India, Girish, this is on a Indian M&HCVs. Pricing discipline has seen some dilution in the last couple of months. How do you see this evolving? And what's ailing the LCV industry how do you see the segment evolve over the next 12 months? And then as ACV, what's your order book size, how the trends in new order intake?
Girish Wagh: Okay. So I think from Tata Motors, we are not seeing any drop in the pricing discipline. In fact, we continue with the discipline that we introduced during last September with steadfast manner. And we had seen some dip in the month of May, which I spoke about in the Q1 earnings call. After that we have been consistently growing the market operating prices. Coming to light-commercial vehicles. What is ailing I think yes the industry has remained flat. And mind you there are two things. First is, I think in terms of percentage increase over the base price, this segment has seen a significant increase when we move from BSIII to BSIV then BSIV to BSVI Phase I and then BSVI Phase I to Phase II. And as a result, I think the ticket size has gone up. In competitively, I think the freight rates have not followed to that extent. And the second thing I would say is I think the financing environment. I think post-COVID, all the financials have been a bit very if I may say so and cautious. And therefore all this put together is keeping this industry flat. But I must say as a result of this I think the quality of books of all the financials has been consistently improving, at least on our counter. But we do believe in the growth potential of this segment. And I think once the economics for the operators balance out, once again I think the industry will start growing. Coming to ACE EV, I think your question was on PLI. Yes, as I mentioned, we have received the PLI certificate just two days back for the ACE EV. Regarding the order book, so if you recollect during the launch we had signed up with five customers for gradual deployment of vehicles. Out of five customers I think one customer is out of operation as of now, but we continue to deploy vehicles in rest of the core customers month-over-month. But in addition to that I'm very pleased to tell you that we are also seeing good traction for the ACE EV in some of the retail segments. And at some point of time later, I can also speak about this in detail but we see good traction happening there. Of course, range anxiety, charging infrastructure, financing environment are some of the issues which remain in the minds of the customers, which we are tracking by increasing the financing period right by increasing the warranty on these vehicles. We continue to improve the charging infrastructure. And I think gradually we see retail of ACE EV growing month-over-month. We also are coming up with quite a few variants on ACE EV to address multiple requires. Balaji?
P.B. Balaji: Thanks, Girish. The comment on PLIs, we have got the certificates. But obviously, there's a lot of scrutiny from the authorities in terms of the CapEx spend, what contributes as CapEx that needs to be considered. So right now we haven't got the PLI money yet. I think the internal expectation Q4 is when it should probably play come through. Let's wait and see we have, of course, an intense conversations with the government on that. Okay. Let me go to the -- this is coming from Raghu, Nuvama Research. For JLR, how do you expect the order book run down the pace of 5000 per month of indicated earlier does that continue? Any other comment on that? Adrian, would you want to take that?
Adrian Mardell: Yes. Let me take that Balaji. Look, we've consistently run down the order book by about 5000 months not only in our quarter two but actually for the last nine months. We are building more cars in the second half of the year. Richard covered that. We have more production days. So I think it's reasonable to assume that the order of equal for a little bit more sharply over the next six months. Our intention is to get it back to pre-pandemic levels which we've referenced before around 110,000 units. And our expectation is that will happen somewhere between the end of this fiscal year and the start of next. So I expect a marginal acceleration, because we're building more cars and therefore, fulfilling more of the existing orders.
P.B. Balaji: From an input cost side, given the higher wage hikes that we are seeing in suppliers like ISE, do you expect input procurement costs to go up?
Richard Molyneux: Okay. I'll take that one. So, we are seeing some areas where there is still inflation be that wage inflation or other cost inflation. But as I referenced in the charts, actually certainly on a year-by-year basis, there's considerable elements that are improving. We are spending vastly less on broker buys of chips than we were beforehand. And there are many other elements in relation to commodity costs and even utility costs that are going down. So, no, I don't think that is likely to be the case. In fact I think the dynamic that you're going to see over the coming time is that we will have to spend marginally more in terms of BME and FMI in terms of order generation. But we will offset those costs by reductions versus last year's levels in our material cost and operational costs.
P.B. Balaji: Thanks Richard. I think Girish, so Girish this is for this to you. What would be the outlook for M&HCV growth for FY 2025? It's coming to both of your growth outlook for next year?
Girish Wagh: So let me take like this. M&HCV, I think Y-o-Y we will see continued growth in Q3 would be almost double digit. I think Q4 could be flattish, or little growth because Q4 of last year was pretty good. I think talking about FY 2025, in my view it is too early to speak about it. Because we have a key monitorable, which is the general elections happening in Q1 of next year. To talk about Q1 or Q2 demand for next year of M&HCV we’ll have to wait at least for one quarter to see how the order book of the fleet owners and the infrastructure builders is panning out and we will come to know something about that when we meet next quarter. Shailesh?
Shailesh Chandra: Thanks. So for PV, Girish also mentioned too early to really comment on that. We need to see where we end this year, which is looking strong touching four million. The base is very high. We need to understand that the last financial year, the growth was nearly 25%. And that is very difficult to sustain typically the PV industry mid to long-term growth by at a CAGR of 6% to 7%. So I would still imagine that the demand would remain strong but would be still a single digit in FY 2025, but I must say that it is still very speculative. These are the numbers that we see with the projections that we get from various agencies. But I think let's see where the year ends is what I would say.
P.B. Balaji: Thanks Shailesh. A question on the royalty for this, I think I would just say that these are reasonable royalties and obviously at an arm's length basis. So that's how we would respond to that. PV/EV the charges, 7,800 chargers that we have put out there how many of them would be fast chargers? What are the customer behavior of using them or charging at home?
Shailesh Chandra: Yeah. I think most of these 7,800 chargers especially I'm saying the fast charges. These are on high base. And this would be I would say, my guess would be right is about 4,000 to 4,500 is CCS II charges, which are either 25-kilowatt or 50-kilowatt chargers. As far as the charging area is concerned, we clearly see through our telematics data that more than 90% of the customers are charging their car at home. So the use of public chargers is less. It is only being used if they are on the highway. But primarily the mode of charging is the home chargers, which is either a dedicated charger in the parking slot or residential welfare association common chargers, which are provided.
P.B. Balaji: Next question coming from Hitesh Goyal, I think Richard its coming your way. How are you seeing the Jaguar portfolio? Will you run down in Jaguar in calendar year 2024 second half before Jaguar Electric is launched? And does this mean major savings on JLR EBITDA? How are you seeing the Jaguar transition?
Richard Molyneux: So look Jaguar is still performing strongly. We sold nearly 25,000 Jaguars in the first half of the year. Yes, we will wind the production of the current cars down as we move to the new fully electric Jaguar, which as you know we're saying is a copy of nothing. It is nothing like the existing set of Jaguar cars. So we don't really want those to overlap. We haven't been specific as to exactly when we're going to end each vehicle because some of them are built in Castle Bromwich, some of them are built in Solihull, some of them have built in Austria. So it will vary by plant, but it is reasonably safe to issue that we will run those down before we launch the entire new all electric copy of nothing Jaguar. In terms of the impact that that will have on our EBITDA, we're anticipating that new Jaguar will be a really profitable business. So it will be part of our growth plan of EBITDA and EBIT as we go forward, as we move from the old Jaguar to the new.
P.B. Balaji: Yes. Thanks Richard. Next question probably the -- one of the most eagerly awaited question, Shailesh coming your away. Can you talk about this from Gunjan, Bank of America. Can you talk about the EV outlook in India? There's been some pause and momentum. So how -- can you talk about the pace of adoption that we see now? And what are the key drivers for stepping it up?
Shailesh Chandra: Yeah, Balaji this is a question, which in the last one month I would have been asked by multiple people. I completely understand where this is coming from some of the negative articles, which have come on this. But if you really see the facts in H1, we have seen a growth of 107%. For us it has been about 76%. So it is very strong I would say. There has been a quarter-on-quarter decline and impact primarily because one, if you remember there are several launches which happened in the EV industry. On the late quarter four of last financial year, quarter one of this financial year. And you know that whenever there is a launch there is a spike in the demand, and there is a filling of the channel with the supplies for those new models. Then you see it stabilizing at lower levels. That is the phenomena that you are seeing in quarter two. That's number one. Number two, remember that Nexon EV has been one of the highest selling models in the EV industry. And I covered in the presentation Balaji, also spoke about that we had to ramp down the volumes of Nexon EV because of the transition to the new model and therefore it impacted in the quarter 2. The third impact I also covered in the presentation is that Telangana which is nearly 10% to 15% of the EV industry, the road tax waiver was taken away. It is not because it has been taken away the demand came down, but in anticipation that it will be reverted this still remains down. I would say, these were the three big factors why you have seen quarter-on-quarter but these are not structural reasons, right? Now coming to mid- to long term what will be the EV outlook, where the drivers of growth are going to come from? See the biggest opportunity I see is that 75% of the sales of EVs today is coming from only 25 cities. So all the manufacturers including us being the market leader, are yet to expand into the larger part of the country where there is a huge demand, which is lying there. Second, I would say that we are already seeing announcement of multiple EVs by different players. And remember that when there is a new price point, or a new body styles that offer in the market that is all of a sudden jump. And let me elaborate, what I was saying, just take Tiago EV. Before Tiago EV got launched, every quarter the industry used to sell about 14,000 15,000. After Tiago EV got launched it moved up to 25,000. Because it was a new price point, that we brought into the market. In the coming quarters and years, you are going to see -- EVs covering the entire spectrum of price range which is going to really increase the volumes significantly I would say. That's the second big driver. And the third one is the charging infra. We all know that the biggest impediment to the growth of EV has been the charging infra. And the very fact that 93% of people are charging at home, also signifies that people are right now comfortable driving in the cities. But there's a drastic increase in public charging, which we are anticipating especially on the highways, is two years or so. This will unleash the mainstream customers because, today it is early adopter or early majority which is buying. Mainstream buyer will only buy when they get the comfort on the highways. And why I'm saying that it is going to drastically increase, because see number one, would be the oil marketing companies. I'm not even talking about Tata Power, which also has an aggressive plan and there are certain CPOs also who are going very aggressive. But oil marketing companies have INR 800 crores of subsidy provided by the government to put 22,000 chargers on the highways by 2024. And this is going to really significantly provide us tailwind to tap the mainstream buyers. So, I think mid- to long-term in the coming quarters you will see even growing very strong.
P.B. Balaji: Thanks, Shailesh. PLI we've already answered about the status of PLI. Maybe another question coming away. And Adrian, feel free to chip in if anything Shailesh, miss. The whole significance of this platform sharing with JLR on the EMA side for the range of products.
Shailesh Chandra: I think this is a very significant development. You are already aware that -- we had a showcase in Auto Exco also and prior to that one year that we had unveiled it for the first time. This is the first time that we will be entering into the premium eSUV segment. And we evaluated multiple platforms including, doing a ground of state board assets. But when we got the opportunity to evaluate, EMA, we thought that while our positioning is going to be different than GLR positioning but this unleashes a big opportunity for us to as a state-of-the-art features the new edge features, which we'll be acquiring in the coming years which comes from the triple electronic architecture and a very mature platform, which has been developed by our JLR, which will really improve the reliability predictability future readiness of this platform. So this is a big game for us to position ourselves on a very strong battery of JLR EV platform. So that's number one. Number two is that the two companies have an opportunity to really derive the synergies on the cost side. Certain parts we will be unique. We'll be localizing ourselves, so that will give us the cost advantage, but that also gives opportunity to JLR to also tap some of those cost benefits. But at the same time when it comes to the high-tech components, I think JLR negotiating part with the supplier also benefits us. So it's a benefit on both the sides. So cost difference a big game. And most importantly, given the maturity of the platform, it also helps us reduce the time. So we see multiple benefits of working together. And for us particularly, I think, we will bring a very premium electric SUV which will be on a very strong of JLR plan.
P.B. Balaji: Adrian, anything to add on this?
Adrian Mardell : Agree with all of those three things. And I think the only thing I'd like to add is, we've talked for at least for years about the increasing collaboration between JLR and the broader Tata Group. And I think with the announcements in July around Agritas and now this announcement hopefully every listening is starting to understand the power of that relationship, which will continue going forward, and I'm sure, grow beyond the levels we've announced already. So I'm delighted with the progress in the last six to 12 months that we've made as a group.
P.B. Balaji: Thank you. Let's -- another flavor of the question. Maybe Richard is coming your way. Can you refresh any view to the 10% EBIT margin that you've given for FY 2026, given the -- that your updated guidance for the current year to 8%?
Richard Molyneux : I mean, there's no change in our guidance that we will get to double-digit margins FY 2026.
P.B. Balaji: Thanks. Okay. Next question. I think two or three flavors of the question Girish coming your way. The M&HCV market share gain that you are currently seeing can you give more color to it? How is this where is this coming from? Why do you think you are winning? And where is like to sustain?
Girish Wagh: Okay. So I think in M&HCV and for that matter, I would say, the entire truck segment, which I'm including ICDs also our focus has been to improve the value proposition consistently right? Because finally whatever we are selling has to make sense for the customer, right? I mean, while we are looking at it as more of discount production DMV reduction, I think, it is more about improving the value being delivered to the customers. So in the value delivered to the customer, let me talk about the product. I think our position our strategy on consistently improving the product at every emission compliance or regulatory gate has been vindicated. So we improved the so significantly in BS6 Phase I. We did that again in BS6 Phase II. And I think in Q1 as the products got established and with a lot of back-to-back trials, I think, the TCO improvement was established which therefore led to good value improvement for the customer. In addition to that, I think, we've also given higher performance or higher power-to-weight ratio, which also I spoke about in the last quarter. I think that is also leading to a very good especially in the tipper segment. In addition to that, I think, over the years we have improved our service offering significantly. So we have a very attractive annual maintenance contract. And I think in the BS6 electronic era the annual maintenance contract is also making significant difference along with the key account engagement that we have put in yes. Finally, I think I must add that fleet age now is also helping the customers to actually accrue value in real life usage of the vehicles. And this is clearly becoming a differentiator in the marketplace, especially in the cargo segment and in a different manner in the tipper segment. So I think all these put together, therefore, it's a strong value proposition for the customers. And you also asked about what we would do for the future? I think we will stay committed to this with every year, model year as we call in trucks and as also with every regulatory change, I think we’ll will continue to improve the value proposition for the customer.
P.B. Balaji: Thanks Girish. Sorry this question came for the -- M&HCV question came from Abhinav and I remember Kapil had also asked this question earlier. Another question from Abhinav on the PV festive sales, how do you see it performing? How is market demand?
Shailesh Chandra: Yeah. So when I talk about Navaratri especially, even the last Navaratri was very strong for us. We already had a very high base, but very happy to share that we saw nearly 30% growth in the last, what to say 15 days or so, which has passed since the start of Navaratri in terms of registration, and 16% growth in terms of delivery. So it has been a very strong festive period for us on the back of new launches, success of CNG.
P.B. Balaji: Yeah. Thanks. Next question from Chandramouli, Goldman Sachs. Some of the questions have already been answered. I'll just pick up the ones that are not yet answered. Again Shailesh to your side, what are the initial trends on the new Nexon versus the old Nexon? How are orders picking up?
Shailesh Chandra: This was the leading part?
P.B. Balaji: Both. Maybe worth answering both actually.
Shailesh Chandra: So I think very strong response to Nexon. As I said that three to four months of waiting period depending on the variant. But as far as EV is also concerned these are like two times to three times increase in the booking rates as compared to the normal times. But we’ll have to then see in the next one or two months how this volume stabilizes, but excellent response to both the products.
P.B. Balaji: Great. Again staying with you. The EV margins, what are the key contributors for the quarter-on-quarter improvement in the margins?
Shailesh Chandra: Yeah, I think there are four at least, I would say four factors underlying that. Number one is the sale cost reduction, which we have already seen above 15% to 20%. And we are going to see further reduction of significant amount I would say in the quarter three also. And going forward we are also optimistic. Then we have also the non-sale cost reduction, which is PAT minus sale items. And lot of these items were imported. But as we have been working on the PLI there's a lot of localization action, which has happened, which is another source of cost reduction that we have seen. The third is also the use of new generation and form fact aggregates when we lost, for example, when Nexon EV was launched, we shifted to the new generation power electronics, as well as some of the aggregates, which really helped us in not only improving the performance efficiency but also cost. And the last one would be there's a massive cost reduction program, which is also going to the EV side. So the donor vehicle cost reduction actions on that side has also benefited. So these will be the four facts.
P.B. Balaji: Thank you. I think a question, Girish coming your way. Price tags that you have announced in October. Can you give us a sense of what magnitude it is you see, how do you see the raw material environment maybe you can combine it?
Girish Wagh: Yeah. Yes, Balaji. So see I think we should also look at this in the context, and as I mentioned some time back, since last September we had not taken any price increase, which is the least price increase. There was no price increase whatsoever for more than 12 months. And this is despite the inflationary environment that one saw in the commodities and especially steel and precious metals right. So we -- I mean the entire journey during these 12 months was about realization improvement. Now in the month of October after one year, we have taken a least price increase and we will pass through this price increase gradually during this quarter. And we are already on track for that. In terms of commodity environment, as I spoke I think we are looking at some headwind on the steel, and we are keeping a close watch on that. There could be some impact on precious metals, but that is more for petrol engine vehicles. So the impact on CV will be lesser.
P.B. Balaji: Thanks Girish. Richard, Adrian this is coming here again a very thematic question coming in terms of slowdown in global markets. A couple of course ask them do you agree that it will slow down, but let me leave with you to answer that. Are there any visible signs? And due to this and also the EV penetration slowdown many OEMs are pushing out their launches what is your perspective? And in order to turbo-charged demand in this slowing down environment how much of VME, FME rise can happen? How will you plan to manage this entire moving feast?
Adrian Mardell: Yes. So there is a slowdown, which we see in some markets. I shouldn't say too much about other OEMs because, obviously, I'm not close to their particular circumstances. But with the levels of discounting that happening it generally only happens when supply is significantly over levels of natural demand. So I suspect that's one of the causes behind much of that discounting. Interest rates clearly are very high. A lot of the incentive deals are underpinning those interest rates 8% in the US which a lot of the OEMs are subventing. And we're not, right? So I think the big point here is there's a huge differentiation between our positioning in the marketplace with our VME in the one percentage plus level compared to others. And the big reason for that still of course is back to the earlier discussion. We have a huge amount of pent-up demand which we are slowly, slowly working through. And a huge capability to increase incentives and be significantly lower than in the marketplace going forward in FY 2025 which we will look to do as we close out the balance of this year. So I think we're in a really healthy place a really good place in a very, very difficult market but we're very wary about the difficulties in the marketplace as well. So our intention is to stay in front of the problem here.
P.B. Balaji: Thank you, Adrian. The next question comes from Nishit Jalan on the PB business. These questions have been answered. Maybe one specific point I would say. Has there been any production constraint as dispatches appear to be lower in the last two months? And when do we start the production in the plant? And when should we expect CURVV in there?
Shailesh Chandra: So as far as last two months is concerned I think last month we were the highest ever in terms of offtake. So that was the highest production month for us. But still we lost opportunity because it was the first month of ramp-up of Harrier Safari. So we could not fully produce what we would have intended to. A month prior to that again there are one of significant ramp down of Harrier Safari and some of the models in say compact sedan and hatches. So that's been the case. But I think the exit number is more important which has been the highest ever. The second question was Balaji on CURVV, right?
P.B. Balaji: Yes
Shailesh Chandra: So CURVV and Sierra. So CURVV and Sierra is planned to be launched in 2024 and 2025 respectively. So that's on that. And as far as Sanand is concerned that was a production -- so that's also slated for in the first half of 2024.
P.B. Balaji: Thanks, Shailesh. A question on Freight Tiger is from Pramod Amthe, InCred. What is the transaction valuation and the burn rate and the funding needed for the next three – two, three years? See the way the transaction have been structured if you recollect we ran about INR 150 crores for a 26-point-some percent stake that works the business at roughly about INR 420 crores. So that's a transaction valuation. And we also know over the next two, three years whatever is the cash burn reserve we're estimating roughly INR 100 crores will burn in that. And therefore that is what we are ready with the funding for that as well. So that business is well-funded and ready to meet its objectives. And we obviously will want to work closely within Freight Tiger and Fleet Edge to ensure we drive maximum synergies. And the logistic business cases and how that can in turn manage this burn rate and step up growth rates is something that we'll be working with them in the coming days. Next question from Kapil Singh, Indian PV. Some of your competition has seen sharp clearance of order books how was it case for the various ICVs and CNGs?
Shailesh Chandra: So -- it was very much expected because the order book was being created prior to the festive season and festive season has released most of them for competition and engineer for the industry I would say. In our portfolio I would say for certain models, the regular models of course we have also seen the depletion as of the order book in the festive period because it was the phase of delivery. And we are reworking on creating fresh orders. But it has been more than offset I would say with the new launches that we have in the last two months Harrier, Safari, Nexon. So it's pretty balanced I would say.
P.B. Balaji: And how do you see the volume run rate in the second half?
Shailesh Chandra: So second half, as Balaji, you also mentioned in your presentation that it should be strong on the back of launches that we had and which we will have in the coming quarters.
P.B. Balaji: To PLI just come sit again out of PLI. We are as I said, earlier Q4 is when we are expecting to see the cash starting to come through but let's wait for that and then we should be there. But everybody on all stakeholders committed to make it happen, so let's wait for that. Ashish Jain, Macquarie next one. Richard is coming your way. When do we see the JLR working capital cycle reverse given the GBP1.4 billion bills that we saw in FY 2022 2023?
Richard Molyneux : So we will see some of that reverse during the second half of this year. Our working capital cycle tends to improve as our volumes. So some of that will reverse through the next six months and it's part of our delivery of our £1.25 billion of operating cash.
P.B. Balaji: Thanks. Next one coming from Pramod, UBS, battery plant. Can you please share the status of the battery plants? As is in July, we announced the UK tie-up for setting up a battery plant there. And India is also on schedule at this point in time on the internal plans. Obviously, you should expect to hear more on this plan in the coming days. So we'll wait for the news for the same piece. India ESM from Pramod, India EVR, any update on fundraising? Currently there are no plans of fundraise on the EVR. And therefore, we are – how we placed on CapEx funding for this business, absolutely secured the 7,500 that came through from secures 50% of the $2.2 billion funding then PLI is the other one. So between the two, we are well funded. Let's give me a minute please. I think Safari and Harrier, you've already answered so let me leave it out. Can you detail out the PLI benefit is restricted to CapEx spending. A lot of questions on trying to understand PLI benefits. Shailesh, do you want to give it a try first and I go next.
Shailesh Chandra: I think you've covered it Balaji.
P.B. Balaji: What is PLI benefit all about? Okay. Let me start. You can chip in. Yes. There are three aspects to the PLI that is there. Number one, there is a threshold CapEx is about INR 120 crores, which we comfortably need. And then there's a target CapEx that needs to be spent which is about INR 2000 crores. Anything INR 2000 crores plus spent over the INR 120 crores is treated as eligibility for a PLI benefit, number one. Number two, there has to be a 50% localization that needs to happen other than batteries. So that that is what the ARA certification is all about going through the entire space there. And this CapEx has to be eligible CapEx on specific areas. It's not like any – all CapEx there. Then once you are eligible for this you get a benefit anywhere from 13% to 18% of the EV sales that you do, which you have already – the lean entities are already pre-cleared with the authorities. So this is the construct of the PV setup. Right now we've got the ARA certification confirming 50% compliance, 50% localization for Tiago, Tigor and ACV. And we will obviously be – the reason it is not for next quarters – sorry Tiago and ACV. And the reason we did not put the Nexon were the new Nexon has just been launched. So therefore, we would rather take the. It's quite an elaborate process of getting it right? So we will now be putting up Nexon for approval then the respective new brands will also come on to it.
Girish Wagh: Processes are also in the pipeline...
P.B. Balaji: Processes are also in the pipeline.
Girish Wagh: Mostly meeting the DVA requirement is about to go the process the process.
P.B. Balaji: So we are confident of getting the DVI requirement. And once this is there then obviously, they scrutinize you for understanding, did you make all eligible CapEx and that takeoff is currently underway. Once that is done then you're eligible of PLI. Your EV sales has to be authorized by the statutory auditor of yours. Certification given – given to IFC. IFC is the one that approves these numbers and then the Ministry of Heavy Industry makes the payment on that. This is the process. Obviously, I may have missed a few steps in this. But by and large this is what if…
Girish Wagh: One is if there are any supplier claims, also then that is offset 
P.B. Balaji: Any supply claims or that will be offset against it. So this is the broad scheme Hitesh. What else? Pramod, the JLR first half margin and in the full year guidance conservative. We've already talked about, so let me skip that. I think they are now coming to an end of all the questions, right? Just give us a minute please and give us anything you're missing it. Sanand plant, couple of thing. Sanand plant, can this cause a dip in PV business margin? What is the optimum volume at which it will not be margin dilutive and by with when you can already reach it? Hey Kapil, already -- these costs are already in my P&L, because the factory has been bought over in early January. And therefore this cost is already in our P&L, therefore nothing to talk about that and our volumes are ready or picking up. If you recollect, but -- we sold 48,000 last month. Our max capacity will stretch up to 55,000. So we are already at absolutely at a limit in terms of our CapEx and -- sorry, in terms of capacities, and it's only going to add as volumes as margin as volumes pick up. I think with this -- now there's Gautam from B&K Securities. Do you feel the biggest impediment to EV growth is absence of second-hand EV market? Very interesting question. Do you want to pick that up?
Shailesh Chandra: Yes. I think it is an important aspect but I would not say that this is the biggest impediment. There are other barriers and road blocks to adoption as far as mainstream buyers are concerned, I talked about it. But this is an important aspect. Frankly, when we talk about the early adopters, they really don't worry too much about this. But also you know that we launched Nexon EV, which is the Nexon EV Prime with the low range in Jan 2020. So still a lot of this is not in supply. So once it comes in supply then we'll be able to assess the market for this, the ability market because if there is a market for new car, there are a lot of people who are considering EVs, who would try to buy a car in a good condition at a much lower price availing the benefits of operating costs, lower maintenance costs and so on. We intend to help the customers when they think of selling off their car and pushing in the used car market by transferring the warranty also benefit to the next buyer so that that constraint is not there. But I think still the used car is not in the inventory given that it's hardly three years since we launched the car.
P.B. Balaji: Yes. I think with that we are done with the questions. Thank you for the searching questions. Really we had -- we enjoyed answering those questions. I'm more than happy to take any further questions that you may offline. Do reach out to the Investor Relations team and we are happy to reach out to you. Once again, thanks for taking the time to attend the session and look forward to speaking to you for the coming days. Thanks. Bye. And thanks team JLR, and thanks guys here in the room as well.